Operator: Thank you for standing by. This is the conference operator. Welcome to B2Gold Corporation's Fourth Quarter and 2025 Year-End Financial Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Clive Johnson, President and CEO of B2Gold. Please go ahead.
Clive Johnson: Welcome, everyone. As you heard from the operator, we're here to review B2Gold's financial results for 2025. The fourth quarter of 2025 brought a solid end to what was an exciting year for B2Gold. The Fekola, Masbate and Otjikoto mines continued outperformance, and the first ramp-up quarter at Goose resulted in the strongest consolidated production quarter of the year. Across our portfolio, we celebrated many milestones during 2025. We achieved record revenue of $3 billion. In Mali, we produced 4 million ounce since the inception of the mine and received the Fekola underground exploitation approval, producing over 20,000 ounces from Fekola underground in to 2025. We are excited for the future of Fekola underground as a contributor to the Fekola complex as it ramps up to full production. At Goose, we celebrated the first gold pour in commercial production. This milestone is not the one that we celebrated on our own, and we look forward to many years of operations in Nunavut. Canada is in close collaboration with our partner, the Kitikmeot Inuit Association and Kitikmeot Communities. In Namibia, B2Gold announced an improved construction decision of the Antelope underground deposit. Production from Antelope has the potential to increase Otjikoto mine gold production, leveraging the low-cost platform and extend the life of mine into the 2030s. At Masbate, the operations delivered a better year consistent and safe results, achieving the incredible fee for 7 years without a lost time injury. In this strong gold price environment B2Gold is well set up to take advantage with a strong asset portfolio and a flexible balance sheet and with growth capital spending at Goose now complete, the company is in a position to add significant shareholder value over the coming years. With that, I will turn the call over to Mike Cinnamond for a discussion of our financial results in the fourth quarter and fiscal year. Mike?
Michael Cinnamond: Thanks, Clive. As Clive said, financially, it was a strong quarter. GAAP earnings were $0.13 per share or $0.11 per share on an adjusted earnings basis. And those earnings would have been even stronger if it wasn't for the timing of the late shipments at Fekola. Fekola had a very strong Q4, and just the timing of shipments at year-end. We had just over 20,000 ounces that were delivered just after December 31. So not recorded in revenues for 2025, but recorded in early '26. So revenues, we did record $1.05 billion in the fourth quarter. That included delivering 66,000 ounces -- just over 66,000 ounces under our gold prepay obligations. And as of today, we've delivered January's tranche and we're working on February. So we're nearly there. We'll have delivered into those and they'll be wound up by the end of June '26. Operating cash flows for 2025 were $896 million, and that included $286 million in the fourth quarter, which is another strong result, and it highlights the continuing cash generation potential of our operating assets in this very strong gold price environment. Our balance sheet-wise, we remain in a strong financial position. We had cash and cash equivalents of $380 million at the end of '25. We had drawn $150 million on our revolver at the end of '25 as well, but subsequent to year-end, we paid down another $100 million of that. So leaving us with capacity of $750 million on the revolver, a further $200 million in the accordion feature there. So lots of capacity there. So overall, I think we maintained excellent financial flexibility to fully repay our obligations on the gold prepays, as I said, by the end of June, and complete our other sustaining and growth initiatives, all across our portfolio, and to continue to fund healthy exploration programs. I think you'll see that in our budgets to extend mine lives, and -- but at the same time, also to return capital to shareholders, and I think that's an important one. During '25, you saw us start to repurchase shares under our NCIB. We repurchased 2 million shares for about $10 million in '25. But subsequent to year-end, we've gone back then we've purchased another 5 million shares for approximately $24 million. And I think you'll see us continue to do that as the year progresses. Obviously, with the prepaid rolling off, we've got close to an extra $110 million a month coming in now from cash flows post June, where we're currently delivering into those prepays. But a lot of that extra cash flow, I think you'll see us look at that normal course issuer bid and see if we can buy some more shares back given where we think we are and where we think we're going with our assets as we look forward into some very strong cash flow years coming up. So with that, I'll turn the call over to Bill for operational and project update.
William Lytle: Yes. Thanks, Mike. So I'd say, overall, we're pleased with the 2025 operating performance at our sites, producing approximately 980,000 ounces, which was near the midpoint of guidance. Looking forward to 2026, we're anticipating production between 820,000 and 970,000 ounces. Production is expected to be lower than 2025 due to the planned step-down of Otjikoto following completion of the open pit mining in Q4 2025 and the expected lower production at Fekola is stripping of Phase 8 of the Fekola pit continues. These decreases will be partially offset by the continued ramp-up of the Goose mine. While we only have a small data set so far in 2026, all operations have performed above expectations. In Mali, the company expects to receive the approval for the Fekola Regional exploitation permit during the first quarter of 2026, with production starting in the second half of the year. Gold production at Fekola is expected to be relatively consistent throughout the year as production from Fekola Regional is expected to ramp up in the second half to offset a decrease in production from Fekola Phase 7 as the Fekola pit begins to transition to Phase 8. Fekola Regional is expected to contribute between 60,000 and 80,000 ounces in 2026. At Goose, we expect the operation to ramp up throughout the year. The crushing circuit, unfortunately continues to be supplemented with the mobile crusher, production during the fourth quarter was impacted by unseasonably low temperatures impacting the performance of the mobile crushing unit, which is not enclosed and is susceptible to operational interruptions and extreme gold. Initial modifications to improve performance of the crushing circuit in the near term, including the addition of run-of-mine bins and apron theaters were ordered in late 2025. They're scheduled to be implemented in the second half of '26, at which point use of the mobile crusher will cease. The company estimates that the crushing circuit will be able to operate consistently at an average of approximately 3,200 tonnes per day once these initial modifications are implemented. Capital for the initial phase has been included in the 2026 operating budget. The company is studying a more comprehensive crushing circuit improvement to increase design capacity at existing crushing circuit, to enable it to run at an average of 4,000 tonnes per day. These studies will be finalized in the first half of '26, at which point the company will determine the optimal scope and timing of additional crushing circuit improvements. Capital for the second phase has not been included in the 2026 budget. And while the studies are currently ongoing, I reiterate, the studies are currently ongoing, the company believes the overall cost to implement these improvements will be in the tens of millions of dollars and not material to the scope of the operation. At Masbate, the operation continues to perform well with a world-class safety track record. Mine throughput significantly outperformed expectations in 2025 and achieved a record for the second year in a row. We anticipate another year of consistent operations in 2026. At Otjikoto, the operation had a fantastic year with strong production from the final phase of the open pit, achieving the upper end of its guidance range for 2025. Given the planned completion of the open pit activities, we expect lower production in 2026 as the mine transitions to processing only Wolfshag underground ore, supplemented by low-grade stockpiles. The company has begun development of the Antelope deposit which we believe has the potential to increase Otjikoto mine gold production to an average of approximately 110,000 ounces from 2029 through 2032. With that, I'll turn it back over to Clive for the intro into the Q&A.
Clive Johnson: Thanks, Bill. Let's open it up for Q&A.
Operator: [Operator Instructions] Our first question is from Fahad Tariq with Jefferies.
Fahad Tariq: Just on Fekola Regional, can you just give us maybe the latest conversations you're having or not having with the government? And what gives you the confidence that the permit could be in the first quarter of this year?
Randall Chatwin: Yes. It's Randall. I'll respond to this one. Over the '25, I think part of our confidence goes to the movement that we saw over the course of the year. This was a permit that took all of the ability of the Malian government to come up with a consolidation that had never been done before in Mali under the 2023 mining code. And so, for us to be able to move that through last year and get to a point right now where we do have the endorsement of the Minister of Mines, the endorsement of the Minister of Finance on this permit has been pushed through. The technical group, the review has been completed and is sitting with the President and the newly formed Mining Commissioner, Hilaire Diarra. And we are in very regular dialogue. In addition, moving forward with the underground exploitation. And as you've seen, Barrick's Loulo Permit get extended. The government is moving these things forward. It is slower than we would like for sure. But there is constant dialogue on the process. And that's really what gives us the confidence that we're going to see it in the near future.
Fahad Tariq: Got it. And then just maybe switching gears to Goose. I believe there was an internal study that was being done with FLSmidth to figure out the permanent crusher solution and what that would entail, and how would be -- like the specifications for it. Can you just share anything else from that study that came about, if that's been completed? And what that means for the second half of this year at Goose?
William Lytle: Yes. So the study, as you correctly said by FLSmidth was completed. It's been delivered to Lycopodium who's going to be the engineer of record. They're in the process of reviewing that study. And then, of course, it has to go out for -- once the final design is set, it's got to go out for cost bids and we have to come back with what the final study is. So I think we've been very open that we're not really going to have final answers until April. What we know is that the first part is the apron feeder and the hopper. That's Phase 1. The second half after April, we'll come out with what the final guidance is. But we did -- I think we did talk about this kind of tens of millions of dollars. So the first -- the Phase 1 was -- is $7 million, and all that's in the budget. The second half is tens of millions of dollars, but once again, without having a study, we're probably somewhere in the middle of that. So it's probably something like CAD 50 million at which time we'll be purchasing equipment. And there is the opportunity. There's two choices. One, depending on what the final decision is, we could hurt it in, so we could bring it in on plane this year or we'd have to bring it up the road next year. Those are the two options, which have yet to be finalized.
Operator: The next question is from Anita Soni with CIBC World Markets.
Anita Soni: Just a follow-up on Fahad's question on the throughput. Could you just -- I understood the issue with the hopper and the crusher, but what is preventing it from getting to 4,000? I thought that was -- that initial fix is going to be the final solution. Can you talk about the second portion of it?
William Lytle: Yes, I can. It really is a design factor. So we can run at 4,000. We just can't keep it at 4,000 all day every day. And so we can't catch up ever. So if the crusher goes down for whatever for maintenance or there's a blockage or that type of stuff, then suddenly we're behind, and we can't catch up. So this next study is talking about expanding the capacity of the crusher with the safety [indiscernible]
Anita Soni: Right. So getting to 6,000 would just allow you to potentially maybe a little bit more, but average the 4,000. Is that the case?
William Lytle: I didn't say 6,000 for sure. I don't think...
Anita Soni: No, no. Your MD&A does say something about evaluating going to 6,000.
William Lytle: Well, no, the MD&A really was a different issue related to sending the overall circuit to 6,000. This is completely tied around the crushing circuit.
Anita Soni: Okay. All right. And then just on Otjikoto. I wasn't quite clear about when Antelope would come onstream. I think this capital spending is '26 and '27, but is '28 a ramp-up year in the '29 to '32 was where you exceed 110? And then what would '27 and '28 look like in terms of production?
William Lytle: Yes. So the answer is, yes, to the first part, that '27 and '28 are kind of years, which we're continuing to build, with '29 being a ramp-up. I mean, once again, given the fact we haven't even ordered equipment, it's maybe a bit premature to talk about when ramp-up will happen. But we are talking about '29 and then through '32 being production. And what it looks like in '27 and '28 is kind of that -- it looks like -- just look at my numbers here. I see life of mine at Otjikoto kind of 78 in '27 and 64 in '28.
Anita Soni: Okay. And then at Fekola, could you give us a bit of a breakout in terms of what's coming from the open pit and the underground? And then also -- so excluding the Regional where you've got -- I guess, with 70,000 to 80,000 -- 60,000 to 80,000 ounces the breakout between the underground and the open pit and sort of what grades and tonnage we were looking at in each?
William Lytle: Yes. I don't have the grades and tonnage in front of me, but I do have the gross number. So you could back calculate for sure. So from the underground, I'm showing 71,000 in '26. And then the combination of Fekola and Cardinal is I'm showing 300,000. So a total of 371,000 minus the Regional.
Anita Soni: Okay. And then the underground. Sorry, could you -- do you know what the grades are at the underground or no -- sorry, the tonnage, the tonnage that you would be pulling?
William Lytle: Yes. Well, I think we're mining of 1,500 tonnes per day there. So I'll have a guy check on where we're on this call just to make sure, but I think it's 1,500 tonnes.
Operator: [Operator Instructions] The next question is from Carey MacRury with Canaccord Genuity.
Carey MacRury: I'm just wondering how we should think about ASIC at Goose once you're at 3,200 tonnes a day versus your guidance?
Michael Cinnamond: So well, what I'd say, Carey, you can see, obviously, there's an ASIC ramp up in '26 in the budget numbers, and that's based on obviously much lower range production than we see when we get to steady state. So I think you can see us definitely stepping down. ASIC, we're doing an updated Goose study to incorporate, I think, all of the elements of this new crushing study and what we plan to do. But the goal is that we get ramped up to 4,000 tonnes per day, maybe a little bit further into 2027. So once we've got Stage 2 of the crusher remediation done, then you'll see our Goose all-in sustaining cost step down significantly from what we've put out in the budget here.
Carey MacRury: Okay. And then maybe just on the cash taxes, you've given guidance at $5,000 an ounce. Is there -- would you happen to know what that be at like $4,500 or so is there any sensitivity around that number?
Michael Cinnamond: So sorry, what was the second part of your question, Carey, on the cash taxes?
Carey MacRury: Just like your cash tax guidance is done at $5,000 an ounce, I'm just wondering what that would look like at $4,500 or so?
Michael Cinnamond: Well, yes, you could probably -- if you take what's there and multiply very effective average rate of 30% for the step down, that will probably get you somewhere in the ballpark. Remember, the thing to remember with those cash taxes is we're showing you what we think it is, and we have to make assumptions about how much we repatriate from sites, right? So at these higher gold prices, we're pulling up a lot of cash. And so it's not a linear step down from $5,000 to $4,200 because there are withholding taxes on those dividends. But if you want to quantify it, very high level, what it is, take the difference in the gold price, multiply it by the production ounces and take 30% of it, you'll get in the ballpark of what the impact of cash taxes would be. We didn't give that cash tax guidance just to show you what it looks like around the whole group because you can see in 2025 cash tax numbers, with over $0.5 billion and withholding taxes and that was $130 million plus. So it's -- I want to remind everyone, all the analysts for your models, you got to put those withholdings in to see the impact of the higher gold prices. And we pulled back over $1 billion from sites during '25. So we wanted to give you that guidance in '26 as well, just to show you what we see at $5,000 and withholdings somewhere in that $115 million range and $5,000 is the impact for the year.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Clive Johnson for closing remarks.
Clive Johnson: Okay. Thank you all for those good questions. Sorry, operator, is there somebody else?
Operator: I apologize for the interruption. Have you finished your concluding remarks?
Clive Johnson: Okay. Yes. Thank you, operator. Thanks, everyone, for attending and for your questions.
Operator: Thank you. This brings to end today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.